Operator: Hello everyone and welcome to the Yelp Third Quarter 2014 Earnings Call. My name is Joe, and I will be your operator for today’s call. At this time all participants are in a listen-only mode and later, we will conclude a question-and-answer session. Please note that this conference is being recorded. I will now turn the conference over to Ms. Wendy Lim. Ms. Lim, you may begin.
Wendy Lim: Good afternoon, everyone, and thank you for joining us on Yelp’s third quarter earnings conference call. Joining me on the call today are CEO, Jeremy Stoppelman; and CFO, Rob Krolik; and COO, Geoff Donaker, will join us for Q&A. Before we begin, I’ll read our Safe Harbor statement. We will make certain statements today that are forward-looking and involve a number of risks and uncertainties that could cause actual results to differ materially. Please note that these forward-looking statements reflect our opinions only as of the date of this call, and we undertake no obligation to revise or publicly release results of any revision to these forward-looking statements in light of new information or future events. Please refer to our SEC filings as well as our financial results press release for a more detailed description of the risk factors that may affect our results. During our call today, we will discuss adjusted EBITDA and non-GAAP financial measure. In our press release issued this afternoon and our filings with the SEC, each of which is posted on our website, you will find additional disclosures regarding this non-GAAP financial measure and a reconciliation of historical net loss to adjusted EBITDA. And with that, I would turn the call over to Jeremy.
Jeremy Stoppelman: Thanks, Wendy, and welcome, everyone. We had a great third quarter. Revenue increased 67% year-over-year and adjusted EBITDA grew approximately 150% year-over-year. We saw a strong growth across our key metrics as we continue to go after the past global opportunity in front of us. Our mission is to connect people with great local businesses and we want consumers to be able to access these trusted local reviews in any country in any other native language. For example, imagine you’re travelling in Brazil and looking for the best type of arena, you want to know where locals go, you’re not filled with tourist, now you can launch the Yelp app, hit the translate button and see reviews go from Portuguese to English. This machine translation feature provides the general meaning in context of reviews for consumers who would not otherwise be able to read the reviews. We see a large opportunity internationally and we continue to roll out the yelp playbook in new markets as we plant the seeds for future growth. We expand geographically by hiring community managers who nurture communities of local writers. Content [rooms] (ph) and consumer traffic which leads to more writers and more reviews. Once the content and traffic grow, we’re able to start monetizing but this process takes time. For example, we launched in Italy about three years ago and our sales people just began selling in Italy last month but there are recent launches in Choi and Hong Kong, Yelp is now available in 29 countries and in 16 languages. In Q3 of last year, we acquired SeatMe and subsequently launched the Yelp reservations, a free light version of SeatMe with the goal of enabling consumers to make online reservations and more restaurants through night life establishments. Business owners and diners have responded positively to the ease of use and simplicity of our reservations product and we couldn’t be more pleased with the results. About one year ago SeatMe has approximately 200 businesses accepting reservation and as of the end of the third quarter over 5000 businesses were using SeatMe for Yelp reservations. With over a 139 million unique visitors coming to Yelp to discover great local businesses, we continue to build out features to quantify customer leads for business owners. Consumer message over 100,000 unique businesses using our message to business feature are now able to transact with approximately 28,000 businesses from restaurants to spas to wineries through Yelp platform. These products engaged consumers and enhance their experience and provide additional way to show the value Yelp delivers to local businesses. Finally, I’d like to highlight the Yelp Foundation. I am proud of the foundation and its mission to support consumers and local businesses in the community served by Yelp as well as the charitable interest of our employees. This year, the foundation will donate about $1 million giving grants to support community literacy and small business growth and matching donations made by Yelp employees. We look forward to supporting great non-profit organizations that are strengthening local communities around the country for years to come. We have made great progress toward capturing the large global opportunity ahead of us. We’ll continue to focus on what has made us successful, nurturing our communities of writers and contributors, bringing Yelp to new parts of the world and developing innovative products to demonstrate the valuable lead businesses received from Yelp. And now I’ll turn the call over to Rob for the financial details.
Rob Krolik: Thanks Jeremy. Please note that we have posted a few slides on our Investor Relations webpage that accompany the financial portion of the webcast. We had a very strong quarter exceeding both revenue and adjusted EBITDA guidance, the key operating metrics for the third quarter are as follows: cumulative reviews grew 41% year-over-year to approximately 67 million more than 5 million reviews were contributed in the quarter which was our largest quarterly increase to-date approximately 45% of new reviews were posted via mobile. Claims local businesses were 1.9 million, up 40 % year-over-year. Our average monthly unique visitor grew 19% year-over-year to roughly 139 million. Average monthly mobile unique visitors grew 46% year-over-year to approximately 73 million. International traffic grew 40% year-over-year to approximately 30 million unique visitors on a monthly average basis. In Q3, the international traffic was slightly down sequentially due to the changes we have seen in traffic from Google. Active local business accounts grew 51% year-over-year to approximately 86,200, this number includes paying customers such as businesses that buy impression based ad and CPC ad and also SeatMe customers and businesses that sold deals in the quarter. I want to take a moment to give a little color around the different dynamics surrounding this metric and how it relates to revenue. First, while new customers are included in active local business accounts, the revenue is reflected in other revenue line item. Excluding deal customers, the remaining active local business account grew 66% year-over-year. The revenue generated from these remaining active local business accounts comprise local revenue. Second, national and regional customers are among the advertisers included in active local business accounts and revenue associated with these accounts is reflected in the local revenue line. It’s worth noting that a national advertiser with 100 locations typically account as a single active local business account. These businesses tend to be more sophisticated and better understand the compelling ROI Yelp provides. Moving on for the third quarter, local revenue was 85.1 million up 66% year-over-year. Brand revenue was 9.3 million up 35% year-over-year. We expect Q4 brand revenue to be similar to Q3, other revenue increased 158% year-over-year to $8 million. The increase was primarily driven by the revenue from our partnership with YP, for Q3 revenue from the YP partnership exceeded our expectations, given this we decided to take the opportunity to realign the partnership for everyone’s benefit as such for modeling purposes we expect other revenue to be approximately $7 million in Q4. While I am still early we have been pleased with the partnership and look forward to continuing the relationship. International revenue contributed about 3% of total revenue in the quarter, our customer repeat rate defined in the percentage of existing customers from which we recognized revenue in the immediately preceding 12 month period was 75%. Gross margin was 94%. We continue to see leverage in the model. Total sales and marketing was approximately 53% of revenue compared to approximately 56% last year. Sales headcount in the third quarter grew 52% year-over-year. We intend to continue our investment in sales and marketing given the great results and large local opportunity ahead of us Product development was approximately 17% of revenue compared to 18% in the third quarter of last year. G&A was 15% of revenue compared to 17% in the third quarter of last year. We generated approximately $19 million in cash flow from operations and finished the third quarter with $418 million of cash and cash equivalents and marketable securities on the balance sheet. Now turning to guidance, for the fourth quarter we expect revenues in the range of 107 million to 108 million representing a 52% year-over-year increase. We expect adjusted EBITDA for the fourth quarter to range between $24 million and $25 million. We also expect stock-based compensation to range between 12 million and 13 million and depreciation and amortization to be approximately 4% to 5% of revenues. We expect full year 2014 revenue to be in the range of 375 million to 376 million or approximately 61% growth over 2013. For the full year, we expect adjusted EBITDA to range between 69.5 million and 70.5 million, a 138% increase over 2013. We expect stock-based compensation to be approximately $42 million to $43 million and depreciation and amortization to be approximately 4% to 5% of revenue. For modeling purposes in the fourth quarter, we expect our weighted average, diluted share accounts to be approximately 78 million shares and our weighted average basic counts to be approximately 73 million shares. For the full year, we expect our weighted average diluted share count to be approximately 77 million shares and our weighted average basic share count to be approximately 72 million shares. I’ll now turn the call over to the operator to open the call up for questions.
Operator: (Operator Instructions) Our first question here comes from Mark Mahaney from RBC. Please go ahead sir.
Mark Mahaney – RBC Capital Markets, LLC, Research Division: Thanks, two questions please. I guess the second one will be the follow-up. Can you talk a little bit about the international opportunity and how we should think about that building up as a percentage maybe of overall revenue now that you anniversary the Qype acquisition. Are there other markets like Italy if there are any other examples of where you are going to be start selling ads, where you haven’t for several years and then secondly could you just give us a little more color on this YP partnership and why revenue will be down sequentially from Q3 to Q4 anymore details on that would be appreciated. Thank you.
Rob Krolik: Hey, Mark thanks for your question. In regards to the international opportunity I think as you said we’ve started the lap the Qype opportunity, the revenue from prior year we are off to approximately $3 million in international revenue; so on a run rate basis we’re about $12 million for on an annual basis which is kind of interesting if you take a step back and look at Yelp in 2008 Yelp itself a total did about $12 million of revenues. So we feel like the international businesses off to a good start. We’re going where we want to be and also I guess from monetization standpoint we just started monetizing in Q3 Italy. So we launch it about three years ago and there is no content therefore no traffic to start to monetize that opportunity. So we’ll look forward to monetizing other we don’t give out specifics on when we’re going to do the next country but we do have some plans. In terms of the YP comment, both parties are very happy with the deal in the beginning of Q3, the opportunity was very large that we saw and what ended up happening was it exceeded all of our expectation and so what we did is we took opportunity to do realign the agreement both parties got a little something out of it and we ended up the other revenues probably expected to be in the range of approximately $7 million in Q4 instead of $8 million what we saw in Q3.
Mark Mahaney – RBC Capital Markets, LLC, Research Division: Thanks Rob.
Rob Krolik: Thanks.
Operator: Thank you. Our next question here comes from Mr. Brian Fitzgerald from Jefferies. Please go ahead.
Brian Patrick Fitzgerald – Jefferies LLC, Research Division: Thanks, maybe a bit of a follow on to Mark’s question. Can you give some any other color on the markets in Asia that you entered such as Hong Kong maybe specifically is the user behavior and the business behavior similar there as you see in the U.S. or even in Europe and then another follow on to Mark’s when you look at the Italy content ramp, was that as expected, is that the normal I might have seen varying rates in varying geographies as you ramp content. Thanks.
Geoff Donaker: Hey, Brian. This is Geoff. Thanks for that questions around international, first off on Asia in very early days and in all of our Asian markets as you probably launched Japan earlier this year and that’s been off to a great start. Hong Kong were only a week or two in now so it really nothing much to report other than that, the launch went well. In Japan the user behavior we have seen so far has been terrific, it has been more mobile and we’ve actually seen a lot of photos in particular in the Japanese market. So only a couple of months in right now but we are seeing positive signs that are a little bit different from what we’ve seeing in other markets but not radically so. Just underline what Rob said though I think you should assume with all of our Asian markets it’ll be years before we even begin to monetize any of those since we’re in such early days of marketing and investment right now. Back over to Italy as the content ramp there that we saw in Italy or really our other European markets. By and large what we’ve seen in pricing that bubble chart that we’ve shared historically in terms of content growth in these markets has followed relatively predictable pattern compared to what we’ve seen in the states, certainly that was helped by our acquisition of Qype and integration of that content last year by and large yes fairly predictable and consistent pattern.
Brian Patrick Fitzgerald – Jefferies LLC, Research Division: Great. Thank Geoff. Thanks Rob.
Rob Krolik: Sure.
Operator: Thank you. Our next question comes from Kaizad Gotla from JP Morgan. Please go ahead.
Kaizad Gotla – JP Morgan Chase & Co.: Thanks for taking my question. I was wondering if you could just discuss the lower 4Q revenue guidance relative to the implied 4Q guidance you provided three months ago, was there something about the YP or was there revenue related to the YP partnership in 4Q that got pulled into 3Q. And in terms of the Yelp platform I think you said has 28000 businesses now and I was wondering if you could maybe discuss some of the benefit you’re witnessing from these close through transaction with these businesses in terms of uplift in penetration of your advertising offerings. Thanks.
Jeremy Stoppelman: Hey Kaizad thanks for your question. Regarding to the guidance question so we didn’t actually guide Q4 what we did is, we guided for the full year and we’ve come up actually a little bit from that original guidance I think we just said in Q2 we said full year was going to be $3.72 to $3.75 and I think this way this guidance shows that we’re at $3.75, $3.76 so about a 61% growth rate and we’re pretty happy with that. As we mentioned I think that the YP relationship actually started out with a bang and we realigned that agreement a little bit benefit both parties and so you can expect other revenue to be approximately $7 million in Q4 versus in Q3. And then I think we also said that we expect brand to be similar to what in Q4 to what we saw in Q3.
Rob Krolik: And for your other question about yield platform yes the coverage has been expanding quite dramatically as we mentioned earlier now around 28,000 local businesses that are integrated through of these third parties like E24 and Bookers so we have coverage in foods, spas, lawns and just recently as of actually yesterday we’ve rolled out hotels and wineries. And so it’s really starting to look as Yelp in this marketplace where consumers can come and not just find the information that they are looking for but also transact and we think that’s a great way to make the user experience better and fundamentally that’s what we are focused on at the same time it also gives feedback to local businesses because they’re able to see the transactions are actually happening. And so when they log into their business or dashboard they can see transactions that have actually occurred in revenue cold cash that’s actually going to their bank account. So we are very excited about how far we’ve come but it’s still early days. Kaizad Gotla – JP Morgan Chase & Co, Thanks a lot.
Rob Krolik: Sure.
Operator: And as a reminder please limit yourself to one question and one follow up question. Our next question here comes from Lloyd Walmsley from Deutsche Bank. Please go ahead.
Lloyd Walmsley – Deutsche Bank: Thanks. Wondering if you can give us an update following up on your last point on Yelp platform now that you have a lot of coverage on that how is that impacting ad sales to local businesses who are seeing a lot of transaction volume are you able to convince them to buy more ads? And then my follow-up if you can kind of update us on where you are in terms of inventory sellout levels in general? And then looking at the partnership with YP on selling enhanced listings does it make sense to partner on with kind of a network like Google or Facebook audience network to help monetize other unsold inventory at good CPC is there a potential interest in doing something like that why or why not?
Jeremy Stoppelman: Hey Lloyd we try to hit this question, so first off you asked about platform is that helping us on the sales side, anecdotally I’ say yes there has certainly been a couple of stories we have heard where businesses we are seeing a lot of transaction volume are excited to get even more therefore sign up for advertising I don’t have any numbers for you on that and my guess is still quite small of what we are doing. But certainly that gets to the idea you heard kind of provide more value for businesses and therefore sell them other products in the future. As to the question on inventory, we still have plenty of inventory on the site and we’re still at a very low overall sell-through ratio as we do add more performance based advertising and of course that gives us opportunity to take advantage of that inventory they have the beauty of auction dynamics within the ad system. And then you asked also about whether we can work with third party networks or advertisers to place them on the site and in small degree that’s what we are doing with YP today because they have the ability to offer enhanced profile on Yelp to their hundreds of thousands of advertisers and that’s a great first step as you may be aware we also do use Ad Sense in a couple of places on Yelp as a back fill for ad spots where we don’t current show a Yelp ad. And so that does provide a small amount of monetization that it shows up in the other revenue line. Are there other opportunities to work with third parties on this kind of thing in the future, we think so although I suspect none of them will be major drivers of the business in the foreseeable future.
Operator: Thank you. Our next question here comes from Jason Helfstein from Oppenheimer & Co. Please go ahead, sir.
Jason Helfstein – Oppenheimer & Co.: Thanks, I will just ask one. So what initiatives did you guys have in place in kind of as you are kind of planning into next year to try to drive the number of active business accounts I think the ratio of active business accounts to claim has been relatively steady for the best past few quarters and while the number of businesses is growing you are benefiting really not seeing the penetration go up much. So just talk about initiatives to drive that higher? Thanks.
Rob Krolik: Hey Jason thanks, this is Rob. To your question I think what we’re really focused on is local revenue and so when our sales team goes out there and sell them are selling to revenue and that’s how they are organized. So it’s not specific to a number of businesses it’s just a dollar amount and one thing I guess I would highlights is and I think we have said this on the prepared remarks is that when you look at active local business accounts if you exclude deals it did grow at 66% which is about the same as local ad revenue. So we feel really good about where we are headed and I think these kind of growth rates are pretty substantial and that’s how the sales team is compensated commission. So I think we are heading in the right direction.
Operator: And thank you. Our next question here comes from Heath Terry from Goldman Sachs. Please go ahead, sir.
Heath Terry – Goldman Sachs: Great. Rob just want to ask on the cohort analysis that you updated in the slide deck, when we’re looking at the cohorts from year pair to year pair how would year have us think about that average local revenue opportunity in the 07, 08, 09, 10 cohorts in terms of the ability to get to the level or what the appropriate level for them to get to understanding they are smaller markets relative to the $6 million that the 05, 06 markets are at, what would you say the equivalent is at sort of a similar point of maturity for those other cohorts?
Rob Krolik: Yes thanks Heath for the question. It’s actually a little bit difficult to say given the growth rates are for the kind of the youngest cohort market that we give out it’s about 100% and even the oldest cohort is about 50% to 60%. I mean when we look at it we say that hey yellow pages did about $7 billion in the U.S. in 2012 markets like San Francisco or New York or LA probably are in the hundreds of millions of dollars of advertising and we’re generating on a run rate basis anyway about $24 million, $25 million in those markets today. If you kind of go to the next tier which is the second cohort of like includes cities like Philadelphia I still think that there is quite a large number probably hundreds and millions of dollars but not quite sure. I would say that there is plenty of opportunities still left in those markets and one of the reasons why they are still growing so fast.
Operator: Thank you. Our next question here comes from Youssef Squali from Cantor Fitzgerald. Please go ahead, sir.
Youssef Squali – Cantor Fitzgerald & Co.: Thank you, two questions please. Your unique were up 19% year-on-year they were relative flat sequentially even as you open up new deals, so can you just speak to what’s going on there, I think you gave some metrics around that maybe it’s the stop unique that maybe bringing it or something but maybe just shed some more color on that and initiatives to reaccelerate that over the next several quarters hopefully? The other thing is around brand I think Rob I think you guided to Q4 being flat with Q3 maybe can you speak to the seasonality of that line item last year certainly we saw huge jump maybe if you could speak to why it should be kind flattish this year it will be very helpful? Thanks.
Geoff Donaker: Hey Youssef I’ll take that first question, this is Geoff. And you have to back with – you would actually get the answer to own question that’s right now that we are in kind of this post desktop era we are seeing significant traffic shift over to mobile we feel great about that mobile shift since we are growing still at 46% year-on-year in terms of mobile unique visitors and as we’ve said before there is mobile visitors actually tend to be more active contributors and participants in the Yelp and then there is desktop users and so all of the underlying metrics like reviews and photos and clicks through the business accounts are actually all up at a ratio that is much higher than that 19%. So we do feel great about the shift and we’ll continue to emphasize it as we jump into new markets as well as those two markets.
Jeremy Stoppelman: Hey Youssef in terms of your brand question so while brand is a nice business for us and we’re happy to have it I think the team has done a great job, our focus continues to be on local and that’s really where we are putting the resources, so interestingly last year it grew pretty substantially in Q4 really most of that is because of an easy comps from 2012. So we have about the same brand team in terms of numbers that we have had from a year ago so grew a lot in 2013 but remained at about the same size in 2014. So we aren’t really seeing the impact of additional productive sales reps and I would say there is a shift going on problematic as well and so that’s also we are also in that game. So like I said really the focus is local revenue but it’s usually nice business for us.
Operator: And thank you. Our next question here comes from Ron Josey from JMP Securities. Please go ahead, sir.
Unidentified Analyst: Hi guys, this is [Michael] (ph) in for Ron, thanks for taking my question. I have a couple, I was wondering if you could first comment on the progress with Google app indexing and if that has helped to drive more traffic to the Yelp mobile app and if you could comment on mobile app usage trends in general? And then secondly if you could give us an update CPC buying in terms of adoption among Yelp’s active business accounts and what are the pricing trends you are seeing there in CPC?
Jeremy Stoppelman: This is Jeremy I guess I’ll try and take that first question see if I can answer it appropriately. So I think what you are talking about is keep linking from Google search results on Android into the app we have seen as we implemented that some lift in engagement users coming over from Google search results into our Android app and so that’s great. Overall we’re seeing great growth on mobile Geoff just previously said a 46% growth, and that extends to apps while we are seeing really robust healthy growth there that we are quite happy about and with that of course comes content and really strong engagement from users. So overall we’re likely to trend there.
Rob Krolik: And then you asked about the CPC product line as we have talked before we do sell to local businesses in a variety of different pricing options, the predominant to our kind of a flat rate CPM based advertising package and then the other is performance based package wherein they set a budget and basically get ads on a CPC basis. We are seeing great uptick both packages still and feel good about those. In the long-term I think we do expect that the CPC performance part of the business may exceed it takes prices part of the business but that is no time in the immediate future and right now we are just agnostic and happy to sell to local businesses in whichever way they prefer to buy.
Operator: And thank you. Our next question here comes from Stephen Ju from Crédit Suisse. Please go ahead, sir.
Stephen Ju – Crédit Suisse: Hey thanks guys. So Jeremy I know the thought process for you guys has been that there is a predefined playbook and a timeline that new cohorts follow relative to the older ones but given that Yelp is now more visible versus back then when you guys first launch is there any chance that the newer cohort should follow a steeper development curve? And secondly at what percentage of any given cohorts online consumer population do you feel like we need to have exposure to before you can turn those to sales force to go engage the advertisers? Thanks.
Rob Krolik: Hey Stephen this is Rob I will try and take that first part we give out this bubble chart that kind of gives out the content as it maturates through the years and it shows kind of when our community manager started and kind of how the content ramps. And so what we’re seeing is a pretty steady progress off the line of the amount of content that’s contributed over the years. And so I don’t know that content necessarily accelerate as opposed to any other market it stays in line with and grow at a fairly rapid clip. So if you were to take say Philadelphia or maybe even at Oklahoma at a point in time versus where San Francisco was at that same point in time I think it’s fairly close and so that with that graphic is trying to represent. So I think we are experiencing pretty tremendous growth rates I mean review growth is over 40% in the quarter we had 5 million reviews were contributed 45% of those are on mobile and year and some months ago we actually didn’t have daily composed review on your mobile device you had to go back to computer. So we feel good about the content generation and therefore the traffic.
Jeremy Stoppelman: And then Stephen you also asked a question about if there is any particular population metric that we are trying to hit before we begin selling into a market. Simple answer to that is no, when we set up a team to begin selling at the country level really we’re looking not so much at a given metric rather we’re trying to make sure that we do have sufficient inventory on the consumer traffic side to make it worthwhile staff up the team of sales people. Within country that we are already selling however we effectively had a system now where the territories are more or less automatically generated for the sales team once we get up to a level of traffic and therefore business prospects we can reach out to in a given city. So there is not any kind of particular threshold and time rather it’s as soon as we have inventory available looking to get calling into the business as an offering on advertising.
Operator: And thank you. Our next question here comes from Kevin Kopelman from Cowen and Company. Please go ahead, sir.
Kevin Kopelman – Cowen and Company: Hi, thanks a lot. Just had a question on advertising spend it seems like you guys are doing a little bit more testing there I was just wondering if you could tell us how effective your consumer advertising test have been and how bigger factor were those in the sales and marketing on this quarter? Thanks.
Jeremy Stoppelman: We have continue experiment with advertising some online and with app direct downloads and then also a variety of offline test as well in particular outdoor in a couple of cities. And the results we have seen from this experimentation has been good and as a result we have dialed it up a bit in Q3 I don’t think we have a specific number for you in terms of Q3 spend but as that experimentation continues to go well you can expect that we will continue to dial it up although we are testing and learning as we go and making sure that we are getting good yield out of it in terms of new brand awareness and new consumers coming into Yelp.
Operator: Thank you. Our next question here comes from Mark May from Citigroup. Please go ahead.
Mark May – Citigroup: Thanks for taking my questions. First one on I think you made reference to your international traffic being impacted by some changes at Google wondering if you could elaborate a bit more on what exactly you saw happen there what the impact was and what your expectation is going forward is there opportunity for you to kind of make that back and was that one of the reasons why your unique reserves were essentially flat sequentially? And then the follow up question there is obviously a lot of focus on the active local business account number and Rob you mentioned the 66% growth x deals offers can you help us think about how that compared to what you saw in Q2 and kind of what you are expecting for Q4?
Jeremy Stoppelman: Hey Mark this is Jeremy. So I will take the first question on international traffic so that actually goes back to the previous quarter we had actually mentioned that the Google to making changes that had affected our international traffic overall the picture year-over-year is healthy we had 40% year-over-year growth content grew by 97% at year-over-year and that’s pretty good. Google obviously continues to make changes on their side both competitively and algorithmically but fortunately we have incredible consumer content and so one way or another people ultimately do find their way there to not avoid – tend to be put up but that can affect growth and so could we have grown even faster than 40% year-over-year if Google wasn’t leveraging its position absolutely but we don’t really know what that number could have been.
Rob Krolik: Hey Mark it’s Rob let me take the question regarding active local business accounts so that metric excluding deals was about 66% growth in the quarter Q3 as a comparison to your point on Q2 is about 70% or so and I think local ad revenue was about 69% so somewhat in line with that we don’t specifically it is this is a what I call new metric excluding deals and we don’t have the sales people really targeting number of accounts they actually are targeting revenues. So Q4 we don’t have a specific number to give you I think we had mentioned that we expect overall to generate about $107 million to $108 million of revenue and so within that and I think have given you some other details about other and brand should you can do some math figure out what we are expecting and then we still continue to expect robust. The one call out I guess I would have with regards to Q4 is that previously in Q4 2013 we had a quite introduced into the metric for active local business account. So I just cautioned people to remember that and I think it was around 2200 additional accounts that were added in to Q4 2013. So just realized when you are doing a comp that that’s included.
Mark May – Citigroup: Thanks.
Operator: Thank you. Our next question comes from Tom White from Macquarie. Please go ahead.
Thomas Cauthorn White – Macquarie Research: Great. Thanks for taking my question. Maybe just another follow-up on the Google related disruption. I guess as it pertains to international traffic. Could you just sort of maybe indicate was it sort of more kind of sheer competitive aggression on their part or was it more algorithmic changes that disrupted traffic there and is it right to think that as you’re content quality in those markets improves but you get more in sort of the local language etc. that the algorithmic pressure might subside and then I have got a quick follow-up.
Jeremy Stoppelman: Yeah, it’s Jeremy again. So of course it’s quite hard to tell which is which and so I am not going to speculate obviously for content providers like ourselves Google is somewhat of a black box but to address also the earlier question, what can we do, I think the answer is to continue to focus on building communities internationally and driving great content because ultimately that’s what the user wants and if Yelp is the premier destination for that content like over the long term we still feel quite strong when the user will find their way to Yelp, growth can be slower but ultimately if you have something scarce and unique like Yelp content ultimately you’re going to win the day. There is also the mobile component and so with mobile apps obviously that’s a direct connection to that consumer and that’s disintermediation of Google and so I think that’s also another long term bet that we’re making.
Operator: And thank you very much. Our next question comes from Kerry Rice from Needham. Please go ahead.
Kerry Rice – Needham: Thanks First question is Rob you had mentioned the sales force isn’t really focused on the number of accounts they win more on the local revenue. Would you say that you’ve also discussed in the past that you’re really are still focused on hunting versus maybe raising prices, would you say that’s changed at all where there is some focus on maybe driving some upsell either through bigger packages or more features and functionality and then the second question I have is back to you’ve got 28000 businesses on the platform and early on you talked about driving transaction revenue, are you driving transaction revenue yet if not how do we think about that ramp building overtime. Thanks.
Jeremy Stoppelman: Hi. You asked a question on the hunting focus for the sales team. Yes we continue to be very much still on an acquisition base. I hope you want to look at this active local business account number whether it’s 86000 or some smaller number for the advertiser account, it’s still a drop in the ocean relative to the millions of local businesses that are out there and so we are absolutely still on an acquisition phase and we want to sell local businesses whatever it is they want to buy whether that’s a low price package that just includes profile features or that’s a larger advertising package around a fixed price with performance basis. So at this stage we are not focused on raising prices in anyway but rather selling advertisers and letting them to be with one and other prices overtime. Rob you want to tell him about transaction.
Rob Krolik: I think so. So as you mentioned we have got about 28000 businesses on the platform that – so whenever a transaction occurs revenue ends up in the underlying item it’s fairly small dollars at this point given the fact that what is happening is our partners are charging a fee and then we’re grabbing a percent of that fee. So as you could imagine let’s say you have a $50 food order and they’re taking I don’t know 10% and so that 5 bucks of that food order, we get a percentage of that.
(indiscernible): So at this point, it’s really more about the consumer angle as well as communicating the business owners that we’re actually driving significant transactions into their business.
Operator: Thank you. Our next question comes from Paul Bieber from Bank of America. Please go ahead sir.
Paul Bieber – Bank of America: Hi, guys thanks for taking my questions two quick questions, I was wondering a quick follow-up on the YP partnership, what elements exactly are working well and then secondly what attracted you to the vertical given that I think it’s only about 3 or 4% of your reviews are in that category in 2013.
Jeremy Stoppelman: So let me take the YP question. So I think right now everything is really working very well and both partners would agree that start off with a bang and I think we’re mutually benefiting us from the additional cost sense that’s included in the YP listing and our traffic to our partners or partners benefitting from all the traffic that they’re generating in the branded profile. So I think I don’t know that there is anything specific of not working at this point in time. I think there was some issues with regards to how we were thinking about the deal long term and we have mutually agreed to resolve that and we feel very good about the long term prospects of this relationship.
Rob Krolik: I think the second part of your question there around the Y of travel. As you could see from some of those, the partners – we also went into the wine category and that’s certainly not a huge traffic category for either on a percentage basis but it’s still really interesting and I think that’s the power of platform, is that, it allows us to open up and bring in any third parties that can enable to envision and we can do that in a scalable way and though we’re not literally building out in end to end experience ourselves we’re leveraging third parties, they actually are able to build right into Yelp and therefore if their flow changes they can make changes on their end and as far easier to maintain than we were trying to just pick individual winners and not provide something as much we’re open. I don’t think that’s really exciting long term component of what we build with the out platform and that literally and new companies startup in various verticals like in company else they had when I filled into that and we can give him tools necessary to build bright in Yelp and it’s not a heavy life our side.
Paul Bieber – Bank of America: Okay. Thank you.
Operator: And thank you. Our last question here comes from Mr. Robert Peck from SunTrust. Please go ahead, sir.
Robert Stephen Peck – SunTrust Robinson Humphrey, Inc.: Hi, Rob. Just trying to get a better feel on organic growth here, we know you talked about the 66% growth in Alba down from about 69-70% that’s still very robust but the mixture of national and regional advertisers is skewing that. Can you give us a better feel when you count to the various locations of those advertisers when you adjust for that, what that organic growth is?
Jeremy Stoppelman: Thanks for your question, it’s Jeff. Just as a point of clarification at 66% is actually an accounts number it is not a locations number so we have for instance Wal-Mart were to sign up 5000 new advertisers or advertising locations in a given period that would actually count as only one new account for that 66% of local business account growth number. As to the kind of the broader question like how is the national business doing, it’s actually going really well, national and what we think up is mid-market which are smaller local chains are two segments that are growing very nicely for us. However there are still very small as a percentage kind of the overall mix and the local advertiser remains kind of the dominant share, local accounts as well as local revenue, so national business going well but still early days.
Operator: Thank you. At this time, we have no further questions and I would like to turn the call back over to Ms. Lim for closing remarks.
Wendy Lim:
(indiscernible):
Operator: And thank you ladies and gentlemen. This concludes today’s conference. Thank you for your participation and you may now disconnect.